Operator: Good day and thank you for standing by. Welcome to the Schnitzer Steel's Third Quarter 2022 Earnings Release Call and Webcast. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session.  Please be advised that today's conference is being recorded  I would now like to hand the conference over to your speaker today, Mr. Michael Bennett of Investor Relations. Mr. Bennett, the floor is yours.
Michael Bennett: Thank you, Chris and good morning. I'm Michael Bennett, the company's Vice President of Investor Relations. I am happy to welcome you to Schnitzer Steel's earnings presentation for the third quarter of fiscal year 2022. In addition to today's audio comments, we have issued our press release and posted a set of slides both of which you can access on our website at schniersteel.com. Before we start, let me call your attention to the detailed Safe Harbor statement on slide two, which is also included in our press release and in the company's Form 10-Q which will be filed later today. As we note on slide two, we may make forward-looking statements on our call today such as our statements about our targets, volume growth, and margin. Our actual results may differ materially from those projected in our forward-looking statements. Additional information concerning factors that could cause actual results to materially differ from those in the forward-looking statements is contained in slide two, as well as our press release of today, and our Form 10-Q. Please note that we will be discussing some non-GAAP measures during our presentation today. We've included a reconciliation of those metrics to GAAP in the appendix to our slide presentation. Now, let me turn the call over to Tamara Lundgren, our Chairman and Chief Executive Officer. She will host the call today with Richard Peach, our Chief Financial Officer and Chief Strategy Officer.
Tamara Lundgren: Thank you, Michael. Good morning everyone and welcome to our fiscal 2022 third quarter earnings call. Before we begin with our formal presentation, I'd like to congratulate our employees on another quarter of excellent operational and financial achievements. After delivering record results for the first and second quarters of this fiscal year, our team did it again. This quarter's adjusted EBITDA represents the best third quarter in our company's 116-year history. To all our employees, thank you. You have continued to exhibit the resilience, nimbleness, and commitment to excellence that has been hallmarks of our company for over a century. On our call today, I'll review our quarterly financial results and the trends affecting our business. I'll also provide an update on the strategic initiatives we have underway to meet the increasing demand for our products and services and to create long-term value. Richard will then provide more detail on our investments, financial performance, and capital structure. I'll wrap-up, and then we'll take your questions. So, let's turn now to slide five to get started. As I often say sustainability is at the core of what we do and how we operate and it has been since our founding in 1906. Our sustainability framework of people, planet, and profit is the foundation upon which our results are achieved and I'd like to highlight two examples of the significant progress we made on our planet goals during the third quarter. In May, the U.S. Environmental Protection Agency recognize our Oakland, California facility as part of the Agency's Green Power Partnership. Our open recycling facility uses more than 18 million kilowatt-hours of green power annually, enough to meet two-thirds of the facility's total electricity use. By voluntarily choosing to use Green Power, which is renewable electricity with environmental benefits above state or local requirements, we are helping to advance the market for Green Power and the development of renewable power sources. This partnership is similar to other programs we participate in, such as the Tacoma Public Utilities Evergreen Options Program, which provides our Tacoma, Washington facility with electricity from majority carbon-free hydropower. Through these partnerships, we were able to advance our sustainability goal of maintaining 100% net carbon-free electricity at our operations. I'm also pleased to share our progress on our goal to deploy an ISO Certified environmental management system by the end of fiscal 2022. In May, our initial six sites passed the two-stage audit process and have been officially ISO Certified. From here, we will begin the extensive process of certifying the rest of our 100 plus sites over the next four years to deliver on our commitment to responsible operations and environmental stewardship. You can see on this slide six, more detail regarding our multi-year people, planet, and profit goals that underpin our sustainability framework. I encourage you to visit our website to view our latest sustainability report. So now, let's turn to slide seven for a review of our third quarter results. Earlier this morning, we announced record third quarter adjusted earnings per share of $2.59. These results are almost double our second quarter and are 18% higher than a year ago. Our third quarter results benefited from strong global demand for recycled metals, with average selling prices for ferrous, non-ferrous, and finished steel products at or near all-time highs. Our non-ferrous and finished steel volumes increased sequentially by 37% and 27%, respectively as logistics and labor constraints improved. Our ferrous volumes which increased 5% sequentially were lower than planned due to the slower export demand off the East Coast that occurred during the latter part of the quarter. Our EBITDA per ton margin of $105 was the highest Q3 in our company's history. Stronger market conditions, together with increased volumes, including the benefits from Columbus Recycling, which we acquired at the end of Q1, drove a significant expansion in our metal spreads and EBITDA. At the end of April, we also acquired the assets of Encore Recycling in Georgia, which included our first metal shredding operation in the southeast. Combined with Columbus Recycling, we now operate 24 recycling facilities in the expanding industrial southeast region. During the quarter, we've generated positive operating cash flow and returned capital to our shareholders through the repurchase of almost 1% of our outstanding shares and the issuance of our 113th consecutive quarterly dividend. Our record performance through the first nine months in fiscal 2022 is reflective of the drivers of demand set forth on the next slide eight. The structural trends underpinning higher demand for recycled metals and low-carbon finished steel include among other things, significant growth in EAF production, which uses recycled metals as its primary raw material; decarbonization trends, which are driving the increased use of recycled metals by BOS; and in many other manufacturing production processes; the effects of years of underinvestment in industrial metals and mining, which have created structural shortages in metals like copper; the transition to low-carbon technologies which are more metal-intensive than the technologies they're replacing; and the U.S. Infrastructure Bill, which is expected to materially increase demand for finished steel and recycled ferrous and non-ferrous metal. So, now, let's turn to slide nine to review pricing trends. Demand for long products continue to rise during the quarter, with prices reaching their highest levels on record. Total U.S. construction spending continued to show strength, with the three-month total spend through April 2022 rising by almost 13% year-over-year. Non-residential and infrastructure projects on the West Coast showed particularly strong growth. We expect to see robust demand in the construction markets continue as our customers order books remain strong and rising activity related to the U.S. Infrastructure Bill is expected to materialize in late 2020 to early 2023. With the increased focus on low-carbon steel, our Oregon steel mill is well-positioned to meet this demand. Our mill is one of the very few whose primary energy source is hydroelectricity. Combined with the use of recycled metal as its primary raw material, the steel made in our electric arc furnace has an exceptionally low-carbon impact as compared to the industry average. In March, we launched a line of net zero carbon emissions products, branded Green Steel to support the ever evolving needs of our customers. If we turn to slide 10, we can review ferrous and non-ferrous pricing trends. Our third quarter began with market prices for recycled ferrous metals reaching historically high levels in excess of $650 per ton, driven by the initial market disruption associated with the Russian war in Ukraine. By the end of the quarter, prices had dropped to a range of $450 to $500 per ton, driven largely by China's lockdowns, slower purchases by Turkey, low-cost Russian billets, and ample scrap flows. Since the end of the quarter, we've seen prices trade in the range of $330 to $350 per ton off the East Coast to Turkey with prices slightly stronger off the West Coast. Copper and aluminum scrap prices also began the quarter at or near multi-year highs, benefiting from the tailwinds of broad based demand, low global inventories, supply chain disruptions, and high inflation. Similar to ferrous, non-ferrous. prices declined in the latter part of the quarter to levels generally consistent with their 12-month average. Since the end of the quarter, non-ferrous prices have further softened due primarily to higher energy prices and slow demand from China. Supply flows during the quarter were steady, but have tightened since the end of the quarter as suppliers feel the impact of higher fuel costs and lower metal prices. The ferrous and non-ferrous price changes during the quarter were significant and recessionary fears and economic growth concerns remain at the forefront of global markets. The headwinds from China's COVID lockdown, the Russian war in Ukraine, and the unsteady global economy are creating a tough short-term environment for metals. However, it's important to remember that the strong demand trends remain intact. There is increasing demand for recycled copper, aluminum, and low-carbon steel as governments and others focus on renewables, electric vehicles, and efficient responsible low-carbon intensity steelmaking. As we look at the fourth quarter, we expect our ferrous sales volumes to increase sequentially as several shipments planned for Q3 move into Q4. And excluding the significant impact of average inventory accounting resulting from the sharp drop in prices, we expect our EBITDA per ton to be similar to what we achieved in Q4 of last year. So, let's turn now to slide 11 to review the strategic actions we have underway that are aligned with these positive structural trends to create long-term value. Our strategic priorities and progress can be summarized in four buckets; first, technology investments in advanced metal recovery systems at our major recycling operations to enable us to extract more non-ferrous metals including copper and aluminum from our shredding activities. Of the 13 systems we have planned, eight are either operational or in commissioning, with the remainder in the construction or permitting process. Second, ferrous volume growth with a fiscal 2023 target of 5.3 million tons, our annualized 12-month run rate, including our recent acquisitions is now 4.8 million tons. Third, expansion of our products and services to meet the evolving demand for recycled metals such as the launch of our net zero carbon emissions, Greenfield products, and the reverse logistics services we provide to manufacturers and retailers. And four, productivity initiatives that we undertake as part of our continuous improvement culture, where our focus is on efficiencies in processing, procurement, and pricing. This focus has enabled us to partially offset inflationary pressures on operating costs. So, now let me turn it over to Richard for a more detailed review of the contributions from our strategic initiatives and our financial and operating performance. Richard?
Richard Peach: Thank you, Tamara and good morning. I'll begin with an update on our recent acquisition of the assets of Encore Recycling, which was completed on April 29th. Encore is based in the Greater Atlanta metro area and encompasses two recycling facilities, including a metal shredding operation and a recycled auto parts center. The acquisition of Encore establishes our first shredding operation in the southeast region and builds upon other recent strategic investments including our state-of-the-art heavy media plant in Macon, Georgia, and our October 2021 purchase of eight recycling facilities from Columbus Recycling. Our Southeast regional footprint now comprises 24 recycling facilities across Alabama, Georgia, Kentucky, Mississippi, and Tennessee. The purchase price for Encore's assets was $55 million, which reflects our forward earnings multiple of less than 5x. In 2021, the Encore facilities processed approximately 90,000 ferrous tons, 14 million non-ferrous pounds, and 20,000 end-of-life vehicles. Now, let's turn to slide 13 to discuss progress on our advanced metal recovery technology initiatives. We continue to progress our technology deployment, which includes installation of advanced separation systems for aluminum and copper as well as systems for primary non-ferrous recovery from our shredding operations. Construction is nearing completion on two new systems, with both expected to start commissioning during the month of July. These includes a primary non-ferrous recovery system based on the East Coast and an advanced aluminum separation system in the Western U.S. We will now have two advanced aluminum separation systems, one on each side of the country. When commissioning and ramp up of the new system is completed, this will give us increased optionality to upgrade the vast majority of our mixed non-ferrous products such as zorba into higher value furnace ready products. Our completed systems include three advanced copper separation systems that are fully operational in different regions of the country and which provides us with the optionality to upgrade lower value corporate commodities into higher quality products, such as corporate jobs. We are targeting construction of our remaining five installations by early in calendar 2023. This timescale for completing construction, together with longer commissioning and ramp up periods for certain of our new systems means we are now targeting full run rate benefits of $10 of EBITDA per person in fiscal 2024 with slightly less than half of that amount targeted for fiscal 2023. Achieving these targeted benefits will require construction and permit timelines, volumes and maximum recovered non-ferrous and system performance to be in line with our expectations. We expect the overall capital investment to be in the range of $120 million. This includes $5 million in the fourth quarter and the remaining balance of $50 million in fiscal 2023. Now, let's turn to slide 14 to discuss our consolidated results, ferrous sales, and the market dynamics. Our adjusted EBITDA of $119 million was our best ever third quarter and represented $105 per ferrous ton. On a sequential basis, this result was higher by $44 million and was driven primarily by increased sales volumes and higher average net selling prices for ferrous, non-ferrous, and finished steel. The quarter also included benefits from expanded metal spreads late in the quarter from previously contracted sales at higher prices and in addition from seasonally higher retail sales and an increased benefit from average inventory accounting, which was for $4 per person compared to $1 in the second quarter. The quarter included impacts of higher inflation on our operating costs, primarily for labor, energy, logistics, and waste disposal. We are able to partially mitigate these cost increases through a productivity initiatives and in the third quarter, our results benefited from improved yields, procurement efficiencies, and other operational improvements. The cost of ocean-going  has also increased due to higher fuel prices, volatility created by the Russia-Ukraine crisis, and also from the COVID lockdowns in China. The cost of three is included within our selling prices for export shipments. Average net ferrous selling prices were up by 22% sequentially and by 35% year-over-year. After reaching multi year highs early in the quarter, ferrous prices then failed due to uncertainty over global steel demand and ample levels of scrap supply. Our ferrous sales volumes were up sequentially by 5%, but lower year-over-year by 7%, as a slowdown in the export demand resulted in delays to contracting and shipping that pushed up four bulk cargoes into the fourth quarter. Third quarter sales volumes include contributions that came from Columbus Recycling and from our first month of ownership of Encore Recycling. Reflecting the slowing of export sales and the increased size of our domestic business, we sold 44% of our ferrous volumes to the U.S. market up from 34% in the prior year quarter. Our largest sales destinations for ferrous exports in the quarter were South Korea, Turkey, and Bangladesh. Now, let's move to sleep 15 for an update on non-ferrous sales and the market dynamics. Average net selling prices for non-ferrous were flat sequentially and up by 15% year-over-year. Coming into the quarter, prices for recycled copper, aluminum, and zorba were mere multi-year highs, but then trended down as China extended COVID lockdowns, which had an adverse impact on global demand. Non-ferrous sales volumes rose sequentially by 37% and year-over-year were up by 29%, including the contributions from both Columbus Recycling and Encore Recycling. The increased volumes reflected the sell through of inventories and a pivot to selling a bigger portion of our non-ferrous in the US domestic market based on attractive economics and better logistics. We sold our non-ferrous products to 16 countries, with the major export destinations being India, Malaysia and South Korea. Our product mix was highly diversified, with sales of zorba representing 33% of our non-ferrous volumes, aluminum 25%, copper 13%, Twitch 8% and others making up the balance of 21% including stainless Zurich, and other non-ferrous metals. Now, let's move to slide 16. To discuss our steel mill performance, and West Coast markets. Finished steel sales volumes of 135,000 tons were up sequentially by 27% as we benefited from strong construction demand and the resolution in April of a concrete driver strike in Washington steam that had delayed construction projects for some of our customers, reflecting the strong demand. average selling prices for finished the were up year-over-year by 41% and then the third quarter reached the highest ever level. Average rolling mill utilization for the quarter was 96%, which represents a strong sequential increase from 86% in the previous quarter. Now, let's move to slide 17 and discuss cash flow, capital structure, and our outlook for the fourth quarter. In the third quarter, we had positive operating cash flow of $45 million, as profitability more than offset the increase in working capital due to the higher price environment and increased inventories. Net debt was $306 million, which was up sequentially, primarily due to the acquisition of assets of Encore Recycling. Net leverage was 24% and at quarter's end, we had a ratio of net debt to adjusted EBITDA of 0.9x. Capital expenditures in the fiscal year-to-date totaled $90 million. For fiscal 2022 as a whole, we expect to make capital expenditures in the range of $130 million to $150 million. Around  I thought will be for growth projects, including on our technology initiatives, investments in spot volume growth, and post-acquisition CapEx. The balance of fiscal 2022 CapEx is for maintaining the business and for investments in environmental-related capital projects. During the quarter, we repurchased approximately 244,000 of our Class A common stock for approximately $10 million. Our effective tax rate on our adjusted third quarter results was 21%. This was lower than our expectation due to discrete benefits from tax credits. Although there are still two months left in the quarter, I'll now turn to our outlook for the fourth quarter, which is based on current market conditions and does not reflect any further disruptions to markets, supply flows, or logistics. We expect our ferrous and non-ferrous sales volumes to increase year-over-year by approximately 10% including benefits from four bulk ferrous cargoes delayed from the third quarter. We expect finished steel sales volumes to be in line sequentially and to be more than double last year's fourth quarter, which was impacted by the fire outage. With a sharp drop in market prices, we expect a significant accounting detriment from our average inventory costing method in the range of $20 per ferrous ton. While we adjust our cash purchase costs for scrap immediately to react to changes in market selling prices, the average inventory costs that is used for calculating costs of goods sold are just more slowly. Excluding the impact of average inventory accounting, we expect EBITDA per ferrous ton to be similar to last year's fourth quarter, which was $65. Due to our outlook for higher shipped ferrous volumes and the lower price environment, we expect these factors to create significant benefits to working capital, leading to strongly positive operating cash flow, which we expect to be well above the third quarter. We expect our effective tax rate for the fourth quarter to be 27% subject to our financial performance. Given significant changes in markets, our outlook demonstrates the resilience of our business model, which includes a diversified sales platform, integrated operations, and our ability to adjust purchase prices, as well as to produce positive operating cash flows in a variety of market conditions. I'll now turn the call back over to Tamara.
Tamara Lundgren: Thank you, Richard. Our record operational and financial results this quarter and for the first nine months of our fiscal 2022 reflect our strong profitability and the significant progress we've made on our strategic initiatives to increase our volumes and the products and services we can offer our customers. Despite current market headwinds, our Q4 outlook reflects robust demand for finished steel products and positive structural demand for recycled metal. We are well-positioned to benefit from the structural trends of continued growth in U.S. and global EAF steelmaking capacity, global decarbonization, increased metal intensity of low-carbon technologies, and additional steel and recycled metals demand, driven by the $1.2 trillion U.S. Infrastructure Bill. We have a strong balance sheet, a track record of delivering annual positive operating cash flows, and an ability to invest in the growth and productivity of our company, while returning capital to our shareholders through our dividend and share repurchases. In closing, I'd like to thank our employees for their outstanding performance. They have demonstrated once again, why we have continued to be a leader in the recycling industry for over a century. And now operator, let's open the call for questions.
Operator: Thank you.  Our first question comes from Michael Leshock of Keybanc Capital Markets. Your line is open.
Michael Leshock: Hey, good morning.
Tamara Lundgren: Good morning.
Michael Leshock: I wanted to ask, I wanted to ask on your criteria on M&A when you're evaluating transactions, what are the most important metrics you look at? And given the commodity price volatility and earnings fluctuations we've seen over the past few years, what historical timeframe do you use to evaluate some more normalized valuations, given the Encore purchase price of $55 million you had said less than five times for 90,000 ferrous tons, just trying to think of how you're thinking about that. And then going forward what criteria you're looking for in M&A transaction?
Tamara Lundgren: Sure, Michael, let me start by addressing it generally. So, when we're looking at acquisitions and in light of the business and the industry that we're in, we look at valuation on a through-the-cycle basis. So, it really depends upon when in the cycle we're looking at an acquisition target to determine where we are through the cycle. On the Encore acquisition that Richard mentioned in detail, as Richard indicated on forward EBITDA multiple is below five and our historical multiple is, I think 5.5 to seven. So, it was below our historical multiple and we look for strong franchise operations. In this case, the Encore transaction gave us the opportunity to acquire our first shredding operation in the Southeast. So, we now have 24 facilities in the southeast. And that creates a tremendous amount of synergies for us and operating leverage, because now we've got a shredding facility that can support our recycling facilities. Richard, anything that you want to add to that?
Richard Peach: Yes. Thanks for your question, Michael. What I'd add is that we've also got some additional new technology in the Southeast region. So, the new acquired Encore assets will be a source of supply absorber to our heavy media plant thatâs in the Macon, Georgia area that only about 70 to 100 miles away. And also we have a way offshore operation in the southeast too. So, there's good technology synergies there, as well as from the overall integrating of Encore into our enlarged Southeast operations building on our acquisition of Columbus Recycling last October.
Michael Leshock: And what's your strategy behind M&A as you as you are building out that presence in the Southeast region? How much more do you see to go there? Is there something that you might be targeting? That's my first question. And then also in the initial release, when you announced Encore, you had alluded for the need of additional investments, like the shredder enclosure, emissions control system, stormwater infrastructure, and the refrigerant recovery program. How are you thinking about those? Maybe the timeline for those investments? And is there a way to frame the CapEx associated with that as we think about fiscal 2023 CapEx?
Tamara Lundgren: Sure. So, I'll take the first one. And then Richard, why don't you take the CapEx questions. On the first, Michael as M&A tends to be opportunistic in terms of what is available at any point in time. We do believe that the industrial activity -- steelmaking activity in particular, in the southeast is very strong. So, that's clearly a region that we've been targeting for quite a long time. And that's why we were particularly excited to have the opportunity to identify a shredder that is relatively new. And well-positioned, well-situated that we could acquire at an attractive and accretive multiple.
Richard Peach: Yes, I'd add, Michael, that one of our criteria is looking to achieve returns that are greater than our cost of capital for the future ownership of any new acquired business, and that includes any post-acquisition CapEx that we spend. And you mentioned, the environmental investments we expect to me. Those investments will likely be made over more than one year period and we will be giving an update on our expected fiscal 2023 CapEx when we announced our full year results with on October.
Michael Leshock: Okay. And lastly, for me, just on some of the logistics constraints, they seem to be easing, at least to some extent, as evidenced by your strong non-ferrous shipments in the quarter. Could you talk to what you're seeing on the logistical front and given the inflationary and supply pressures? Maybe the easing of the cadence of easing that you're seeing there?
Tamara Lundgren: Sure. So, we did see easing in container availability during Q3, part of that was attributed to China's slowdown and so more availability of containers. And as you know, freight costs are fundamentally a pass through in our sales activity. So, you can see that coming through those movements coming through as they adjust. On the bulk side, the freight has been has been unsteady and available.
Michael Leshock: You got it. Thanks for taking my questions.
Tamara Lundgren: Thank you.
Richard Peach: Thank you.
Operator: Thank you.  And speakers, I am seeing no questions in the queue at this time. I will turn the conference back over to Ms. Tamara Lundgren for closing remarks.
Tamara Lundgren: Thank you. Thank you, everyone, for your time today. We look forward to speaking with you again in October, when we will report our fourth quarter results. In the interim, stay safe and stay well. Thank you.
Operator: This concludes today's conference call. Thank you all for participating, you may now disconnect and have a pleasant day.